Operator: Good day, and thank you for standing by. Welcome to the Q4 2025 MasTec, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. You will then hear an automated message advising that your hand is raised. To withdraw your question, please press. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Chris Mecray, Vice President of Investor Relations. Please go ahead.
Chris Mecray: Good morning, and thank you for joining us for MasTec, Inc.’s fourth quarter full year 2025 financial results conference call. Joining me today are Jose Mas, Chief Executive Officer, and Paul DiMarco, Chief Financial Officer. We have prepared slides to supplement our remarks, which are posted on MasTec, Inc.’s website under the Investors tab and through the webcast link. There is also a companion document with information and analytics on the quarter and a guide summary to assist in financial modeling. Please read the forward-looking disclaimer contained in the slides accompanying this call. During this call, we will make forward-looking statements regarding our plans and expectations about the future as of the date of this call. Because these statements are based on current assumptions and factors that involve risks and uncertainties, actual performance and results may differ materially from our forward-looking statements. Our Form 10-Ks include a detailed discussion of risks and uncertainties that may cause such differences. In today’s remarks, we will be discussing adjusted financial metrics reconciled in yesterday’s press release and supporting schedules. We may also use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measures can be found in our earnings press release, slides, or companion documents. I will now turn the call over to Jose Mas. Good morning, and welcome to MasTec, Inc.’s fourth quarter earnings call. First, some quarterly and full year highlights.
Jose Mas: Revenue for the quarter was just shy of $4 billion, a 16% year-over-year increase, bringing the full year to $14.3 billion, also a 16% increase for 2025 and a new record high. Adjusted EBITDA was $338 million in the fourth quarter, a 25% year-over-year increase, which was an acceleration from the 20% growth in the third quarter. We exceeded guidance with strong operating execution across segments. Full year EBITDA of $1.15 billion was an increase of 14% from the prior year. Adjusted earnings per share was $2.07, a 44% increase versus $1.44 in the prior year quarter. In summary, we exceeded guidance again in revenue, EBITDA, and EPS, highlighting another strong execution quarter and year for MasTec, Inc. This strong result is in part a testament to the scale and diversification MasTec, Inc. has achieved over time, and we are excited about our outlook for 2026 and beyond given the clear long-term positive market conditions across all of the end markets we serve. While I am proud of our financial results, I would like to highlight a few positive developments both in the fourth quarter and in early 2026. First, it is important to highlight our significant backlog growth. On a full year basis, backlog was up over $4.5 billion, a 33% annual increase. Sequentially, backlog was up over $2 billion, representing a 1.6 times book-to-bill. More importantly, we see our business and the opportunities in front of us accelerating. As impressive as the total number is to me, I am more excited about the backlog mix. While every segment was up considerably year over year, our pipeline segment saw backlog slightly drop sequentially. Yet, I would argue that our visibility in that segment is as good as it has ever been. While we expect double-digit growth in 2026 in our pipeline segment, we have been very vocal about our expected growth acceleration of that business in 2027 and beyond, reaching and hopefully surpassing historical high revenues in that segment. That potential, coupled with the continued backlog growth across all of our non-pipeline segments, positions MasTec, Inc. for considerable long-term multi-year growth. Our long-term visibility is better than it has ever been, and coupled with the margin opportunities we have, MasTec, Inc. is in a great position to deliver consistent long-term earnings growth. I am also pleased to report that included in our fourth quarter backlog growth there is nearly $1 billion of data center-related work. These awards include the type of work we have been doing over recent years and also include our first construction management agreement of a turnkey site. While most of the work on that project, which started in the fourth quarter, will be subcontracted, the opportunity for MasTec, Inc. will be our ability to self-perform a greater scope of work on future jobs. Demand for both the skill set that MasTec, Inc. has developed in construction management coupled with the capabilities we have in civil, power, telecom, and maintenance provides us the opportunity to exponentially grow this part of our business. We believe these opportunities are a result of our customer solution approach where we can provide a range of services from full-scale EPC to a specific function on any project. In addition to our backlog growth, while we have focused heavily on organic growth over the last couple of years, our strong cash flow generation gives us the ability to allocate capital to further enhance our growth profile. Accordingly, I would like to welcome the NV2A family to MasTec, Inc., which we acquired during the fourth quarter. NV2A is a construction management services firm whose principals we have known for decades, with a preeminent reputation for construction management of complex commercial projects, and well known for its work on aviation and C Corp projects. Prior to the acquisition, NV2A was our joint venture partner on our $600 million Miami Airport expansion project, which is the first phase of an estimated $9 billion construction program. NV2A deepens our expertise in construction management capabilities as we grow this sector, including data centers, and other mission critical facilities. During 2026, MasTec, Inc. also acquired McKee Utility Contractors, a third-generation family business and leading water infrastructure service provider. We believe water infrastructure is another structurally growing theme and are very excited about both McKee’s near and long-term prospects. I would like to welcome the McKee family to MasTec, Inc. These deals complement and enhance our existing infrastructure capabilities, and represent exactly the type of transactions that we target over time: firms led by strong management teams who see the value in joining MasTec, Inc. to scale their platform and enhance the solutions they can offer customers. We are excited to welcome our new partners to the MasTec, Inc. family, and expect them to hit the ground running and contribute to MasTec, Inc.’s near-term success. Turning to some segment highlights. In our Communications segment, fourth quarter revenue increased 23% year over year and EBITDA increased 16%, all organic, bringing our full year growth rates for revenue and EBITDA to 3241%. The telecommunications infrastructure market continues to evolve, with MasTec, Inc.’s customers pivoting rapidly with significant investments to support broadband delivery to enable enhanced artificial applications, while still working actively to support residential and commercial customer demand for broadband access via wired fiber optic and wireless mobility delivery nodes. Fourth quarter revenue was solidly above plan, including contributions from multiple top customers with robust funding for infrastructure deployment nationally, including upside in both wireless and wireline construction. The margin rate for the quarter was moderately below our expectations due largely to ongoing start-up costs on certain programs. We are confident that the trajectory of profit rates will be positive in 2026, in part due to the maturity in new programs and initiatives during the coming year. Turning to Power Delivery. Fourth quarter segment revenues increased 13% year over year and EBITDA grew by 9%, all organic. EBITDA margins were moderately below prior year at 8.2% versus 8.5% in 2024, which included mix headwinds from lack of storm-related revenue in 2025 and lower than planned Greenlink project volumes due to permitting-related delays that persisted through year end. Regardless, we are pleased with overall Power Delivery results for the full year of 2025, where we saw 16% top-line growth and solid 12% EBITDA growth despite those headwinds. We have strong confidence in the Power Delivery market outlook and for our ability to deliver strong growth in 2026. Fourth quarter backlog for Power Delivery increased an impressive 17% versus the prior year and 9% from the third quarter, ending the year at $5.6 billion, which is a new MasTec, Inc. record and continues a positive trend of unbroken backlog increases in Power Delivery since 2023. Additionally, and probably most importantly, during the first quarter, we received the go-ahead to restart the portion of the Greenlink project that has been stalled by permitting delays. This restart is happening earlier than we anticipated, and coupled with last quarter’s announcement that our Transmission and Sub group was awarded its second largest project ever, it provides us great visibility and confidence in achieving strong double-digit organic growth in this segment. Turning to our Clean Energy and Infrastructure segment, fourth quarter revenue and EBITDA were slightly ahead of our expectations in the quarter. For the full year, revenue growth was a strong 15% and EBITDA margins grew by 110 basis points to 7.4% versus 6.3% in the prior year. Total Clean Energy and Infrastructure backlog at year end increased 30% sequentially to $6.5 billion, which is also a step change of 53% higher than the prior year and book-to-bill 2.1 times. For the renewables group, we saw a tenth straight sequential increase in backlog, which increased by double digits in the fourth quarter. Turning to our Pipeline Infrastructure segment. We saw revenue increase 50% year over year for the quarter as business volumes continued to ramp sequentially since 2025, including an uptick from third quarter’s typically seasonally strong period. Also as expected, fourth quarter saw continued sequential margin improvement with an 18.5% margin, representing a 310 basis point lift from the third quarter, on strong operating execution and overall positive business mix. Finishing the year strong, we have confidence that 2026 will see further increases in both volume and profit dollars, and we are really excited about the market opportunity and pipeline for years to come. I said last quarter that I expect 2026 to be a solid growth year versus 2025, and our guidance includes this assumption. I remain even more excited, however, about the volume opportunities developing for 2027 based on current capacity planning discussions with our customers. With that, I will reiterate that we are very pleased with both our fourth quarter and full year results, and we are excited about the outlook for this year given the breadth of demand drivers for MasTec, Inc.’s businesses. While last year was successful overall, we remain committed to margin optimization on our existing business base and our 2026 guidance reflects this. We assume double-digit margins in Communications this year, around 100 basis point improvement in both Power Delivery and Pipeline, and fairly stable margins in Clean Energy and Infrastructure even with the inclusion of significant construction management volume in that segment this year. So further improvement in the core margins there as well. We are excited about the opportunity for MasTec, Inc. and our investors over the coming years, and thank you for your continued interest and participation. As always, our success as a company depends first on the commitment and dedication of our team, and I would like to thank the entire MasTec, Inc. team for their continued embrace of our corporate values of safety, environmental stewardship, integrity, and honesty, and for their focus on serving our customers with integrity and diligence to ensure great results. We win together. I will now turn the call over to Paul DiMarco for our financial review. Thank you, Jose, and good morning. As Jose mentioned, we are pleased with our strong fourth quarter results driven by continued organic revenue strength and solid execution across our operating segments. Looking ahead, our customers are increasingly relying on MasTec, Inc.’s broad service offerings to meet their rapidly expanding infrastructure development goals, giving us high confidence in the growth trajectory that we are outlining today and guidance for 2026. What is really compelling for us now is that our customer growth and investment plans intersect across virtually all of MasTec, Inc.’s businesses, and this reinforces our positive outlook. A few more notes on the fourth quarter and 2025 segment performance. Our Communications segment continued its trajectory of strong revenue growth in the fourth quarter, exceeding guidance by $139 million with 23% year-over-year growth for Q4 and 32% for the full year. This was driven by broad-based strength across both wireless and wireline, and included some contribution from middle mile work that we expect to further develop positively into 2026 and beyond. Fourth quarter EBITDA margin was 8.5%, a slight pullback from last year’s 9% result, reflecting our prior comments on the short-term impact of ramping new business volume. We are confident that as these investments mature they will translate to positive margin outcomes as reflected in our initial 2026 guidance, with double-digit Communication margins. Despite ongoing growth this year, we are beginning to mature some of these new businesses that came on stream in 2025. Fourth quarter Communications backlog totals $5.5 billion, which is an 8% sequential increase and a notable 20% year-over-year increase. Clearly, growth visibility is strong and continues to improve. Telecommunications end market broadly has numerous demand drivers, and our focus is on being selective with the opportunities we pursue to optimize returns. Success for MasTec, Inc. is no longer a function of just volume sourcing, but increasingly a focus on growth management. In that regard, as we grow our Communication service offerings, we are careful to nurture our legacy customer relationships while creating the space to serve new customers and new opportunities. This includes both residential and commercial end user markets, and making sure we are allocating resources efficiently. Jose provided a good overview of our Power Delivery performance that I will not repeat, but I would add a couple of points. First, we see a clear path to margin expansion in 2026 and currently expect year-over-year margin expansion in each quarter. Our base utility and distribution business continues to perform well, providing a solid foundation on which we can build operating leverage as volume grows. Second, our Power Delivery segment is contributing meaningfully to our supportive data center infrastructure, working for utility clients, data center developers, and hyperscalers on this front. We also expect Power Delivery to be a key beneficiary of our new role leading turnkey data center construction. The Clean Energy and Infrastructure segment, total Q4 revenue of $1.3 billion represented a 2% increase from the prior year inclusive of solid double-digit growth in the renewables business and slightly exceeded our segment guidance. Infrastructure and Industrial revenue was also in line with expectations, and we saw significant new business development for this group during the quarter to provide a very notable volume pivot for 2026. On a full year basis, revenue for CE&I was $4.7 billion, or a 15% year-over-year growth rate, including even stronger renewables growth for the year. Fourth quarter CE&I EBITDA margin was in line with our expectations at 7.2%, but somewhat lower than 8.3% in the prior year, which benefited from favorable project closeouts in our Industrial that were not repeated in 2025. Renewables margin was stable sequentially and up slightly year over year, as expected at the high single-digit levels, while Industrial and Infrastructure also saw solid overall performance. As Jose noted, CE&I saw a step function increase in backlog during the fourth quarter, reflecting significant contract signings across the segment. Infrastructure drove the 2.1 times book-to-bill achieved in the quarter with multiple large project wins, including the data center general contractor award discussed by Jose. These projects are expected to deliver substantial revenue contribution in 2026, also now factored into our guidance. The data center project will be executed under our general buildings vertical, still within the CE&I segment, but we may refer to this group’s results more specifically in the future. Renewables also continued its impressive streak of backlog growth, which now stands at over $3 billion for the eighteen-month period. Our visibility for renewables project activity extends much further, with projects under contract for work beyond the next eighteen months or under limited notice to proceed totaling over $4 billion incremental to our backlog. Although acquired backlog contributed approximately $300 million to the year-end CE&I totals, organic book-to-bill was still an impressive 1.9 times. Regarding the Pipeline Infrastructure segment, fourth quarter revenue of $644 million represented our highest quarter in the past two years. We finished the year with $2.1 billion in total revenue for the segment, which was notably stronger than our initial guide of $1.8 billion as the business inflected positively earlier in the year. EBITDA for the quarter of $119 million was driven by strong overall execution and project mix. Fourth quarter EBITDA margin of 18.5% is indicative of the steady-state margins this segment is able to generate in an expansion cycle. Regarding our overall progress with margins, we are pleased to have finished at a consolidated margin of 8% for 2025, with our non-pipeline segment generating margins of 8.2% versus 7.6% in 2024. As a reminder, full year 2025 margins reflected a slower start to the year, particularly in Pipeline, as well as certain headwinds we noted in the back half, particularly with Power Delivery. We still accomplished a strong outcome last year and met our guidance objectives. We regard this as a testament to our focus on execution and the strategic diversification and scale of MasTec, Inc. Everything does not have to go right in every period to deliver on our overall goals. We have highlighted a midterm goal of double-digit consolidated EBITDA margins; we are pleased that 2025 sets us up positively for further margin performance in 2026. As a side note, we are adding meaningful volumes to construction management contracts, including the new data center business we won in the fourth quarter. This business mix represents lower margins, but a high return-on-capital opportunity that we are very proud to execute. We also expect to subcontract many of the construction activities internally at margins comparable to work performed with external clients. We will work to provide some level of visibility into the margin progression of the base business from 2025 to the extent that our mix evolves materially going forward. In addition to the margin expansion efforts, over the past few years, we have highlighted our increased focus on return on invested capital, and we are proud to see this metric meet our weighted average cost of capital hurdle for the first time since 2021. We believe the growth and margin expansion opportunities presented by our portfolio of service offerings, coupled with disciplined capital allocation, will continue to drive returns higher in the years ahead. We generated cash flow from operations of $373 million in the fourth quarter and free cash flow of $306 million in the period, bringing the full year total to $546 million and $342 million, respectively. This was somewhat below guidance due primarily to our revenue beat for the quarter and associated working capital investment, as well as higher capital expenditures also to support accelerated growth. We ended the year with total liquidity of approximately $2.1 billion and net leverage of 1.7 times, well within the terms of our financial policy and criteria to maintain our investment grade credit ratings. We are pleased that our strong balance sheet provides ample flexibility to pursue a disciplined, return-focused capital allocation strategy. We plan to support our best-in-class organic growth opportunities, execute opportunistic and accretive acquisitions that complement our existing service lines, and deploy capital to share repurchases opportunistically, as has been our longstanding practice. We believe the recent M&A transactions are consistent with this approach and our multi-decade track record of solid M&A execution. Moving to our 2026 guidance. A supplemental guidance document for segment and other financial details is now posted to our IR website. For 2026 full year, we expect revenue of $17 billion, or about 19% growth this year on top of the 16% growth produced in 2025. Notably, organic growth is still expected in the mid-teens. Our 2026 revenue profile includes strong results from all segments, with meaningful growth in CE&I of around 35% driven in part by the expansion of our data center work. Pipeline Infrastructure is expected to grow revenue by 17%, Power Delivery about 11%, and Communications just under double digits, coming off the approximately 30% organic growth achieved in 2025. For adjusted EBITDA, we are forecasting $1.45 billion, or an 8.5% margin, representing 26% year-over-year profit growth and 50 basis points of margin expansion on a consolidated basis. This reflects margins of low double digits for Communications, mid-teens for Pipeline Infrastructure, approaching double digits for Power Delivery, and fairly steady margin at the high single digits for CE&I, with improving renewables margin performance offset by the higher percentage of construction management services. Adjusted EPS is forecast to be $8.40, an increase of almost 30% versus the $6.55 in 2025. Our guidance assumes acquisitions contribute approximately $500 million of revenue at high single-digit EBITDA margins for 2026. Cash flow from operations is anticipated to exceed $1 billion for 2026, consistent with our stated target of 70% EBITDA conversion. We expect about $200 million of net cash capital expenditures in 2026 as we continue to procure additional equipment to support planned growth. Our 2026 first quarter outlook reflects the concerted efforts we have made to continue to improve Q1 performance, with revenue expected to grow by 22% and adjusted EBITDA margins of just over 7%, 130 basis points higher year over year. We currently expect sequential revenue growth from Q2 and Q3, followed by the typical seasonal revenue decline in the fourth quarter. Q2 and Q3 should be our highest adjusted EBITDA margin quarters for the year. This concludes our prepared remarks. I will now turn the call over to the operator for Q&A.
Operator: Press 1-1 on your telephone and wait for your name to be announced. To withdraw your question, please press 1-1 again. And our first question will come from Julien Dumoulin-Smith of Jefferies.
Brian Russell: Yeah. Hi. Good morning. It is Brian Russell on for Julien. Good morning. Good morning. Hey. I was just wondering if you could elaborate on the new language on Power Delivery segment of approaching double-digit margins. What initiatives are ongoing to get there? Is it enhanced MSA or project work, or is it just a contribution of these higher margin transmission projects?
Paul DiMarco: We have been consistent that we think the goal for our Power Delivery segment is double-digit margins. So this is just a continued progress towards that. There has been a lot of focus on execution of the base business, which, as I mentioned, is performing well. And then we had some starts and stops last year that obviously caused some inefficiency and eroded some of the margin appreciation that is achievable. So we are not foreseeing those this year. We think the base business is performing well. I think we will get operating leverage as some of the larger projects begin to materialize in a more meaningful way. And we think it is the natural step towards our stated goal of consistent double-digit margins for the segment.
Brian Russell: Okay. Great. And then just second on CE&I and the turnkey data center project. Could you elaborate? You mentioned $1 billion, but over what time frame? And, you know, who is kind of the customer, and is this the first of many to come?
Jose Mas: Yeah. Sure. So a couple things. The $1 billion was not all the turnkey jobs. So we have been doing a lot of other data center work. Right? So we have really focused on our civil power infrastructure businesses that have been doing data center work for years. So, you know, hundreds of millions of the billion were related to that. Obviously, the turnkey site helped move that. We are not in a position to be able to disclose much details around the project or the customer. We expect that job to be concluded in 2027. So between 2026 and 2027, those revenues will be earned. And we do think it will, you know, as the job progresses, we think there is tremendous opportunity for us to continue to grow on that type of business, and we think the market for that right now is incredibly strong.
Brian Russell: Great. Thank you very much.
Operator: Our next question will be coming from the line of Andrew Kaplowitz of Citi. Andrew, your line is open.
Andrew Kaplowitz: Good morning, everyone. Morning, Jose, so it seems like you are still as or more confident regarding your pipeline business. But, obviously, as you said, going to be more book and burn moving forward. So just did you see any delays in terms of project timing versus what you have been thinking? And then on the margin side, given the second half 2025 performance in pipeline and the higher estimated revenue in 2026, is not mid-teens margins for 2026 conservative? You know, if the market kind of develops as you think?
Jose Mas: Yeah. I will start with the second part of the question. Right? I think we have always guided mid-teens in our pipeline business. I think that is the appropriate level to come out with the guide. I think our objective is to beat that. I think historically, we have outperformed that and hopefully, the opportunity is there to do it again. As it relates to revenue with pipeline, I would argue that the our visibility is actually improving. So to me, the number of opportunities, the number of verbal awards, the number of negotiations that we are in the middle of, I think every quarter that passes, our confidence just grows in our ability to continue to grow that business and see a really much longer term of elevated levels than we probably initially expected.
Andrew Kaplowitz: It is helpful then. Obviously, you are still putting out strong growth in Communications and expect to do so in 2026. When you think about breaking down that growth between sort of traditional fiber to the home, do you have anything in BEADs for 2026? And, you know, how should we be thinking about that fiber to the data center opportunity or middle mile broadband? Is that also getting to be bigger than you expected? Is that in 2026 at all?
Jose Mas: The short answer is yes. Right? I think, you know, breaking it down we do not have tons of BEADs built into 2026. I think BEADs, I think what we are seeing there is we are becoming more bullish on BEADs. I think BEADs is going to be much larger than we had originally anticipated, and the opportunity is going to be larger for us. But I think that will predominantly be 2027. One of the opportunities that we have is some of that stuff does push into 2026. That could be very constructive to the business. But, you know, look, we are seeing every one of our customers pursue multiple business strategies. Obviously, everything that is happening around data centers and connectivity to data centers is an important driver for that. We are getting our share of that, and we think that the market is growing substantially for that as well. So very broad-based opportunities. We had an incredible year of growth in Q2 2025. We are assuming a more moderate growth profile in 2026. But, you know, we were surprised in Q4 with the level of activity. I think revenues were about 20% higher than what we guided for Q4. So, you know, got a lot of good opportunity to outperform in 2026.
Andrew Kaplowitz: Thanks, Jose.
Jose Mas: Thanks, Andy. Yeah.
Operator: And our next question will be coming from the line of Jamie Cook of Truist Securities. Your line is open, Jamie.
Jamie Cook: Hi, good morning, and congratulations on multiple fronts. I guess two questions for you, Jose. The first question is just the visibility that you have beyond the eighteen-month backlog that you report. You know, I am just trying to understand how great that is and which segments do you have above-average visibility. And then I guess my second question, I think on the call you mentioned that you saw the pipeline business being able to achieve or exceed prior peak, which I think was $3.5 billion. Under what time frame do you think that would be reasonable? Thank you.
Jose Mas: Sure. Thank you, Jamie. So a couple things. I would say, you know, maybe with the last part of the question first, we have talked about hitting historical highs in pipeline revenue as early as 2027, so in the near term. Again, we see that business shaping up incredibly well. When we think about backlog in general, right, I think Paul alluded on his prepared remarks about the $4 billion of notice to proceeds that we have in renewables that are not in backlog. Right? So we actually have more in LNTPs than we do in actual backlog, which is a remarkable statistic. And I think that visibility is amazing. Right? I think even within stated backlog, we have projects. I think we won our largest project ever in the renewables business at the end of last year. Only a portion of that project is in backlog, only the eighteen-month portion of it. When we think about Comms and, you know, what we are currently seeing in BEADs and the potential there, I think it is going to lead to significant backlog expansion as we think about 2026. In Power Delivery, the level of transmission jobs that we are seeing and the demand for transmission is just off the charts, which I think is going to also lead to some pretty sizable increases in backlog as the year progresses. So overall, when we look at all the segments, we are just really optimistic again, not just about 2026, but what the future holds.
Jamie Cook: Thank you.
Operator: Our next question will be coming from the line of Philip Shen of Roth Capital Partners. Your line is open, Philip.
Philip Shen: Hey, guys. Congrats on the great results here. Wanted to talk about Greenlink and to get a little bit more color there. Jose, could you share, like, the relief that you got, was that all that you are looking for? Meaning, this project is a full go now, or are there other milestones that we should be thinking about in terms of permitting relief or milestones in general? Thanks.
Jose Mas: Sure. So on Greenlink, in 2025, obviously the first portion that we really started on ended up being delayed with permitting. Those permits have been fully cleared. So the beauty of that is we get to go back to work on that initial phase that we were supposed to start. It is a long-term job, so not all permits are in. So there are some permits for the latter part of the jobs that still have to come in. I think the level of confidence around those, especially with clearing this issue, has increased significantly. So we feel really good about the progress on that job, what we think needs to happen for us to ultimately complete that on time. And I think this is just, again, it happened a little bit earlier than we thought in the year, so we are excited about it. And I think it bodes really well for, again, not just 2026, but how that job is going to set up for the next few years.
Philip Shen: Great. Thanks, Jose. And then back on the data center job, of the billion dollars, how much do you think you guys self-perform versus outsource? And then just as a follow-up, you know, how much more is there behind this? I know you may have touched upon this a little bit earlier, but do you think we could see more of these billion-dollar general contractor jobs later this year, or do you think we have to wait till next year? Thanks.
Jose Mas: Yes, so a couple of things. I would say that, again, you take the $1 billion, you break it out between what we have historically done, which is a couple of hundred million dollars. I would say all of that is self-perform, which is the work that we have been doing. When you look at the balance of that on this particular project, we were brought in kind of late where a lot of the actual work functions had been selected with different contractors, so we kind of took them over. So our ability to self-perform on this first project was somewhat limited. Again, we think, you know, one of the beauties of this is we think we have got a huge competitive advantage and we are one of the very few contractors in the U.S. that has significant experience in construction management and civil and power and telecom and maintenance and all of the attributes that you need to make up a data center job. So I think that, you know, customers are beginning to see that. We are getting a lot of opportunities related to full turnkey work with the ability to self-perform, which really changes the margin profile of those jobs on a go-forward basis. I think we are going to responsibly grow into it. This is hopefully the first of many. And we do expect further wins in 2026.
Philip Shen: Great. Thanks, Jose.
Jose Mas: Thanks, Phil. One moment for our next question.
Operator: Our next question will be coming from Sangita Jain of KeyBanc Capital Markets. Your line is open.
Sangita Jain: Can I ask a question on the large transmission project that you booked in the fourth quarter? Can you help us with some details on how long you think that project will take to burn? I know for Greenlink that target was four years. I am just trying to see if it is a similar duration or shorter.
Jose Mas: Hi, Sangita. So it is a smaller project. It will be a shorter duration. It starts, you know, probably the second part of the summer in this year, and it will probably go on for about two years.
Sangita Jain: Got it. Helpful. And then on a broader level, can I just ask about margins? Your revenue growth has obviously been very strong. Margins are expanding, but they are kind of lagging your expectations. So I am wondering if there is a structural barrier that prevents operating leverage from coming through. If it is labor productivity or I do not want to prejudge. I want to, but I would love some color from you.
Jose Mas: Yeah. Look. We have talked a lot about it during the year. I think, which I think is one of the positives as well, right, is that most of our growth in 2025 was organic. And when you grow organically, it takes a lot to open new offices, to build, to grow your workforce base, to invest in not just working capital, but in the equipment necessary to grow. So, you know, we think we put up, you know, mid-teens growth rate both for 2025 and even on an organic basis what we expect 2026. Even if you back out the acquisitions in 2026, we are expecting, you know, mid-teens organic growth in our business. Those create challenges. They create challenges to optimize margins in a period. I think as we get bigger and we see some of those initial businesses start to mature, which we are already seeing, margins kind of take care of themselves. So we are very bullish about our ability to improve our margins in things like telecom, which, quite frankly, you know, again, we beat fourth quarter revenue by 20% versus our guidance, which is just, again, another remarkable number, but that slightly impacted margins negatively. Right? When we look at this year with some of the things that we were expecting to happen on Greenlink and did not come through, it slightly impacted the margin capabilities we had in that business. But when you look at 2026 guidance for both of those, you know, strong growth years from a margin perspective in both of those. Our CE&I, right, I think is progressing incredibly well. We were up 110 basis points on a year-over-year basis from 2024 to 2025. If you take the base business, we are expecting further margin gains in 2026, but it is offset by some of the construction management and data centers. And then when you look at Pipeline, right, it is all a function of size and how we are going to build up to where we think we can get to. If you take just Pipeline growth, if we get back to historical highs in revenues, quite frankly, you know, it almost, because of the mix, it almost takes us to double digits as a total company. Now, you know, total company margins on the longer term are going to be somewhat dependent on mix, are going to be somewhat dependent on how much we grow certain portions of our business and where they land. And we are paying a lot of attention to that. Right? And we are really trying to maximize the returns on our investment and our ability to execute at a high level. But look, as happy and as excited as we are about the growth story, we are super focused on the margin improvements across the company. And I think we have got real potential. I think we have got real potential to significantly impact those. And I think that creates as much, if not more, value than the revenue growth that we are going to deliver.
Sangita Jain: Perfect. Thank you, Jose. Thank you.
Operator: Our next question will be coming from the line of Steven Fisher of UBS. Your line is open.
Steven Fisher: Thanks. Good morning and congrats on a successful 2025. And just to follow up on Sangita’s question there, but keep it more specifically focused to the Communications segment. Could you just give a little bit more detail on the better margin expectations you have there? I know you mentioned about certain elements of the business that are maturing. Can you talk about which aspects of the Comms opportunities are seeing that maturing? Is that overpull work? Or is it the BEAD work? Or, I guess you say you do not have a lot in there. But what are the key initiatives that you are talking about that could really help margins? And what are you doing with the hiring in the Comms business? Because it seems like maybe some of the absorption there is maybe a bit of a drag.
Jose Mas: Yes, Steve. I would push back a little bit. Right? Because I would say if we look at Comms in 2025, the business was up on a full year basis. We were up 32% in revenue, organically. The most mature business in MasTec, Inc., the longest business in MasTec, Inc., was up 32% organically in revenue in 2025. And margins improved 60 basis points year over year on 32% growth. Now we would have liked to have seen margins improve more, no question about it. But we still saw improvement. When you look at 2026 guidance versus where we ended up in 2025, we have got just shy of a 100 basis point improvement in that business yet again, on what will be strong growth. So, you know, I would argue that we have done a really good job of managing the growth and improving margins along the way. But this is where we have made significant investment, opened new offices, and it takes time for some of those businesses to mature. This is why we are starting to see the maturity of those businesses. We are starting to see the improvement of those margins, which on a year-over-year basis, margins improved 60 basis points. Yes, fourth quarter was a little lighter than we expected, but, again, we beat revenue expectations there by 20% versus what we guided. So I think we are well on our way. I think the business mix is perfect. I think, you know, we have got, again, tremendous opportunities. And, by the way, we talked about BEADs being a huge opportunity going forward. I think we see that in 2027. I think we have yet another really, really strong growth year in 2027, probably much stronger than 2026 because of what is going to happen in BEADs. But we are super focused on margin appreciation there. I think we delivered some of that in 2025, and we will deliver more of that in 2026.
Steven Fisher: Okay. That is fair. And then just in terms of the overall 2026 plan and how it is covered in backlog, obviously, you had some really good backlog growth here. Just curious, how well covered do you think on your 2026 plan you are covered at the moment? Where do you think you still need to see more bookings? I know we have talked about on the Pipeline business, it is sort of closer to the burn when you book it, but just kind of what still has to happen to deliver the plan?
Jose Mas: I mean, when we look back for, you know, as far back as I can remember, I do not think we have ever been in a better position going into a year based on revenue guidance versus where we stand with backlog. So I would argue that this is, you know, I am not going to use the word conservative, but I think this is one of the best big plans that we have got relative to what our revenue expectations are with what we currently have in hand.
Steven Fisher: Sounds good. Thank you.
Operator: And our next question will be coming from the line of Justin Hauke of Baird. Your line is open.
Justin Hauke: Oh, great. I have got one more on the margin questions. I guess, to add the mix. But, you know, overall, you are calling for 50 basis points of margin expansion. I guess I was just curious. I mean, you are going to tell me all your segments are, you know, going to see expansion this year. But is there anything, you know, in particular, you know, mix-wise, you would say, you know, some higher and some lower, you know, given the moving pieces, maybe the construction management stuff on the data center work that you said, you know, lower margin. Anything to kind of help think about, you know, the trajectory in 2026 with the segments. Thanks.
Jose Mas: Yeah. So again, I mean, we expect, you know, Comms and Power Delivery to be up on a year-over-year basis from a margin. I think we have been very specific as to what the, you know, what the opportunities are in 2026 versus what it was in 2025. The Pipeline business is obviously growing. Again, we have a step change function there in 2027 from a revenue perspective. So while margins will be good in 2025, they will not be optimal because we will be making a lot of investments—oh, I am sorry—in 2026 we will be making a lot of investments into what is coming in 2027. So that is kind of why we have guided to where we have guided. Then when we think about, you know, Clean Energy and Infrastructure, I mean, we are not, that is probably the one business where we are not calling out, you know, margin appreciation on a year-over-year basis. It is more flattish. While the base business is improving, the construction management business will be a drag on that relative to the total margins of the segment. So I think, you know, keeping margins there flattish is a good story with the opportunity of, you know, further growing our self-perform opportunities around that new business and then enhancing through that. So I think that is how 2026 is going to shake out.
Justin Hauke: Yep. Perfect. No. That is helpful. Second one, pretty easy one here, but I just want to clarify. In the guidance, there is a big uptick in the non-interest. I assume that is the water/wastewater acquisition you did post quarter, but I just wanted to clarify that there was not anything else that was driving that.
Paul DiMarco: That is the change for 2026. Yes.
Justin Hauke: Perfect. Thanks.
Jose Mas: Thank you, Justin. One moment for our next question.
Operator: Our next question will be coming from Ati Modak of Goldman Sachs. Your line is open.
Ati Modak: Hey, good morning. Jose, can you talk about the vision you have with these acquisitions, the NV2A, how that integrates into the data center market? And then the decision to step into water infrastructure, what is your vision with that? You know, how big is it today? How big could it get? And should we expect you to remain acquisitive in these areas?
Jose Mas: Yeah. So let us start with NV2A. Well known to us. They were our partner on a big project we currently have. You know, it was an opportunity that presented itself where one of the partners was interested in selling, and that started a dialogue where we ended up deciding to acquire the entire business. Tremendous opportunities on the current projects we have with the size of what those projects will be in the future. That in and of itself made an enormous amount of sense for us to pursue those acquisitions. And then I think as that develops, you know, obviously, some of these other construction management opportunities presented themselves, and we think they have incredible depth and strength and bring a lot to the table that are going to help us there as well. So we think fundamentally, just based on their historical business, it was a great deal. And when you look at all the complements that we get in addition to that, we think it is going to be a fantastic deal for MasTec, Inc. On the water side, look, we think water is a theme that is going to grow like crazy. I think we are going to have all kinds of issues this year with, you know, some of the snow patterns and where they fell and where, you know, there are going to be a lot of markets that are going to have water issues. A lot of what we are seeing around data centers across the country are demanding more water use, which is forcing municipalities to rethink how they are providing water and the revenue opportunity for them to provide water into new projects. When we look at their business, they have had tremendous growth. But, quite frankly, when you look at their outlook and the opportunities that they are chasing, their growth potential is probably as good or better than anything else we have in all of MasTec, Inc. And we are going to support them and help them achieve that, and we are super excited. We think it is a great management team that has built a great company. And we are really looking forward to supporting them. I think that, you know, again, we think it is a great theme. As the theme develops, as we get a better understanding of that market, I think there are going to be a lot more opportunities there to grow off of.
Ati Modak: Very helpful, Jose. And then what would you highlight in terms of the expectations we should have with the Investor Day in May?
Jose Mas: Look. We are excited to do it. We have not done one in a really long time. I think we are going to talk a lot more about, you know, longer-term outlooks, maybe longer-term targets relative to what we do on these calls. So, you know, we are excited to do that. You are going to get an opportunity to meet a significant portion of our management team and really understand, you know, how we are thinking about the mid and long term as a business.
Ati Modak: Awesome. Thank you.
Operator: And our next question will be coming from Manish Samaya of Cantor Fitzgerald. Your line is open, Manish.
Manish Samaya: Thank you. Good morning. Jose, first question for you. You gave us your margin outlook for 2026. And I was wondering, you know, when you look at your daily, weekly dashboard, what are some of the things that you are looking at by segment to ensure that everything is on track?
Jose Mas: Yeah. Look. At the end of the day, our business is not that complicated. Right? Everything starts at a field level. It starts with a widget that is getting installed. And our ability to enhance the productivity of those widgets is what really changes profitability as an entity. So, you know, how we measure and how we incent at that level is the most important thing that we do as a company. I think, you know, Paul has talked a lot about a lot of the technological advancements that we are trying to make to further provide better information, more real-time information, which I think makes a big difference. But, you know, that is our team’s focus every single day. And I think that, again, you know, we have got a lot of balls in the air. We are growing very rapidly from a top-line perspective, but we cannot take our eye off what, you know, makes us money each and every single day. And I think our team is doing a great job of being focused on that and are really trying to improve that on a day-to-day basis.
Manish Samaya: Second question for you and Paul. Paul, maybe if you can just help us bridge the operating cash flow from 2025 to 2026. And then, Jose, obviously, you are guiding to leverage in the low 1s. How should we think about capital allocation between, obviously, tuck-in acquisitions, as well as share buybacks and other initiatives you might have?
Paul DiMarco: Yeah. So on the operating cash flow question, Manish, it is really just going to follow the cadence of revenue growth. And we expect to have, as I mentioned, you know, sequential growth Q2 and Q3 followed by a fall-off in Q4. We are not assuming any major change in DSO from year end at 65 days for 2025. And so it is just the expectation around working capital investment relative to the revenue generation. And the year-over-year impact really from Q4 2025 to Q4 2026 is, you know, a big piece of that. So there is not a major change in our expectations from where we finished the year. It is just about timing of current expectations of revenue timing that drives the $1 billion cash flow from operations. And, again, it is consistent with what we have stated for a long time, which is that we think we can do 70% EBITDA conversion to operating cash flow consistently. You know, this year, the growth, the timing of the growth, put a little bit of headwind on that, and we think it normalizes in 2026.
Jose Mas: Yeah. Maybe to the second part of the question, you know, I would say, look, first and foremost, we are focused on taking advantage of the organic growth opportunities in front of us and investing in those. I think that when we think about, you know, really adding to the platform of MasTec, Inc. and bringing in partners, there is tremendous opportunity. Right? I think there is so much demand in our industry today that our ability to meet it enhances with looking at M&A and, you know, I think we are going to continue to do that. I think we took a period of a couple of years post some very large acquisition for us in Infrastructure and Energies—Henkels & McCoy and IEA—where, you know, a lot of our focus was consumed on the integration of those acquisitions. I think that is well past us. I think we have demonstrated that. And I think that, you know, we are in a position today where we can take that on and really make that additive to MasTec, Inc. So if anything, I think you will see us be more acquisitive rather than less, and for sure more than the last couple years. It has been part of our story since inception and something that, you know, you will probably see us do more regularly than you have in the last couple of years.
Manish Samaya: Any specific segment, Jose, as far as tuck-ins?
Jose Mas: Yeah. Look. Again, I think there are areas of every segment that we are in that we think make sense for us. So it is measuring the opportunity, quite frankly, versus being opportunistic in those. So, you know, the values are also high. Right? People’s expectations of values have increased significantly. So finding the right balance between those two is what we are going to try to achieve in MasTec, Inc.
Manish Samaya: Okay. Thank you. Thank you.
Operator: Our next question will be coming from Joseph Osha of Guggenheim Partners. Your line is open. I am sorry. Guggenheim Partners.
Joseph Osha: Hello. Can you hear me?
Operator: Yes. We can hear you.
Joseph Osha: Yep. Yeah. Hey. Good morning. Thanks. Two questions. Following a little bit on some previous ones, looking at the data center opportunity in particular, I am wondering if there are any particular skill sets or capabilities you feel like you might want to fill in? And then looking at Communications, there has been some wireless infrastructure rip and replace in that segment in the past. I am wondering how much of that is there going forward, or whether we are mostly looking at FTTH and obviously BEAD in 2027. Thank you.
Jose Mas: Yeah. So a couple of things. On the data center side, obviously, we do not have the functions today to self-perform everything. But I think that we have the ability to self-perform a lot, more than most, I think, again, gives us a tremendous advantage. To the extent that the opportunity is there to consider doing more there, we would. On the wireless side, you know, I think we are in the midst of that rip and replace for our large customer. I think we are going to see a lot more deployment starting in 2027 relative to new spectrum, which is going to help that industry considerably. So we are, you know, we are still as excited about wireless as we have always been.
Joseph Osha: Okay. Thank you.
Operator: And our next question will be coming from Brian Brophy of Stifel. Your line is open, Brian.
Brian Daniel Brophy: Yeah. Thanks. Good morning, everybody. Thanks for squeezing me in here. I guess I will just go with a quick one. CapEx is notably lower than a year ago. Can you talk about the drivers there? Or the 2026 expectation, excuse me, is notably lower than a year ago.
Paul DiMarco: Yeah. I mean, I think it is just a function of where the growth is coming from. We talked about investing a lot in Pipeline ahead of the cycle. A lot of the jobs we are working on right now kicked off in the back half of 2025 and current equipment related to those. Clean Energy segment, where we are seeing the highest growth in 2026, is the least capital intensive. So some of it is just a function of that. You know, we are obviously prepared to continue to invest, and that is our view today. To the extent that project needs or demand opportunities require more CapEx, we have got the flex to do it.
Brian Daniel Brophy: Appreciate it. I will pass it on.
Operator: Our next question will be coming from the line of Mark Strouse of JPMorgan. Your line is open, Mark.
Mark Strouse: Yes. Good morning. Thanks for squeezing me in here. Maybe just on that last point on renewables. Clearly, you are seeing very strong growth. Just curious, can you talk about your market share, your win rates? Is this a function of kind of just the number of opportunities increasing? Or do you think kind of a function of projects getting bigger and more complex that you are taking share as well? Thank you.
Jose Mas: I think it is a little bit all of the above. Again, coming off of the IEA acquisition, we took a lot of time to really focus our efforts around going after customers that we thought we could build meaningful relationships with that would matter over time, and I think we have done that. You know, we have got alliance agreements now with what we think are some of the best developers in the business that have, you know, long-term plans that are very solid, and our ability to have integrated within their systems and really build an expectation of both our labor and their work over a long period of time gives us tremendous visibility. So I think that has helped us. Right? I think today we are a top-tier contractor for both wind and solar. And we are very bullish about the long term of that business. Obviously, at times, it becomes very political. We think there is tremendous visibility through 2030. And we think that as we see the prices and what some of the new generation is pricing at, we actually think that renewables are going to be competitive on a price basis long after 2030. So we think it is a great market. We think it is a market that has got tremendous potential and, again, as Paul alluded to earlier, we have got, you know, a ton of what we would call shadow backlog, which is backlog we know we are going to convert. So, you know, we actually think backlog in that business could increase in 2026.
Operator: And our next question will be coming from the line of Liam Burke of B. Riley Securities. Your line is open.
Liam Dalton Burke: Thank you. Good morning, Jose.
Jose Mas: Good morning, Liam.
Liam Dalton Burke: Jose, your projects have become larger and more complex. Are you seeing less competition and better, more favorable terms as you renegotiate or enter into some project agreements?
Jose Mas: Well, I think the whole industry is. Right? Customers understand the challenges that they face relative to labor. I think, you know, obviously, we have always said we think terms improve before pricing does, and I think we have seen terms improve considerably over the last few years. And I expect that to continue and, you know, as we are all dealing with the demand, I think pricing is also getting better. So I think we are in a good place as an industry.
Liam Dalton Burke: Great. Thank you. And really quickly, you highlighted middle mile activity in the telecom segment. Is that data driven, or what is driving that activity?
Jose Mas: Yeah. Look. I think our customers are looking to grow. Our customers are looking for all the opportunities in front of them. So some of it is data center driven. Some of it is onshoring driven. There is, you know, lots of demand for connectivity. And to the extent that our customers win that demand, it requires large infrastructure buildouts for them, and that is kind of what we are talking about.
Liam Dalton Burke: Great. Thank you, Jose. Thank you.
Operator: And our last question will be coming from Maheep Mandloi of Mizuho. Your line is open, Maheep.
Maheep Mandloi: Hey. Thanks for squeezing me in. Congratulations on the quarter here. Maybe just two quick ones. First, just on Communications. Can you maybe guide how much of that would be exposed to office buildings or commercial customers? And secondly, on M&A, it kind of laid out pretty well on previous questions here. But just curious if you have any thoughts on spending some of the equipment yourself which might be in tight supply in the market here?
Jose Mas: Yes. So relative to office buildings and commercial buildings, obviously, they are customers of our customers. So I think, you know, I do not think that has been a key driver of the business. I do not think there have been large expansions of either of those across the country over the last couple years. But, obviously, connectivity is important for everybody and to the extent that anybody needs connectivity, it is a potential customer for our customers. From an M&A perspective, look. We have not looked at getting into manufacturing. We think, you know, our business has been strong. We have really strong demand and really good partners that can support us in that. So we have not seen the need to do that.
Maheep Mandloi: Appreciate it. Thank you.
Operator: And I would now like to turn the conference back to Chris Mecray for closing remarks.
Chris Mecray: All right. Thank you, everybody. That concludes today’s call. Thanks for participating. And as a reminder, visit our Investor website for a replay and transcript, which will be posted when available. Have a great day.
Operator: And this concludes today’s program. Thank you for participating. You may now disconnect.